Operator: Please stand by, our presentation will now begin. I would now like to turn the floor over to Vince Keenan, Avnet’s Vice President of Investor Relations.
Vincent Keenan: Good afternoon, and welcome to Avnet’s Third Quarter Fiscal Year 2015 Business and Financial update. As we provided the highlights for our third quarter fiscal year 2015, please note that in the accompanying remarks we have excluded certain items including intangible assets, amortization expense, restructuring, integration, and other items, and certain discrete income tax adjustments, from all periods covered in our non-GAAP results. When we refer to constant currency or the impact of foreign currency we mean the impact due to the change in foreign currency exchange rates when translating Avnet’s non-U.S. dollar based financial statements into U.S. dollars. In addition, when addressing working capital, return on capital employed and return on working capital, the definitions are included in the non-GAAP section of our press release. Before we get started with the presentation form Avnet management, I would like to review Avnet’s Safe Harbor statement. This call contains certain forward-looking statements which are statements addressing future financial and operating results of Avnet. There are several factors that could cause actual results to differ materially from those described in the forward-looking statements. More detailed information about these and other factors is set forth in Avnet’s filings with the Securities and Exchange Commission. In just a few moments, Rick Hamada, Avnet’s CEO, will provide Avnet’s third quarter fiscal year 2015 highlights. Following Rick, our Chief Financial Officer, Kevin Moriarty, will review some additional financial highlights and provide fourth quarter fiscal year 2015 guidance. At the conclusion of Kevin’s remarks a Q&A will follow. Also here today to take any questions you may have related to Avnet’s business operations are Gerry Fay, President of Electronics Marketing; and Patrick Zammit, President of Technology Solutions. With that, let me introduce you Mr. Rick Hamada to discuss Avnet’s third quarter fiscal 2015 business highlights.
Richard Hamada: Thank you, Vince, and hello, everyone. Thank you all for taking the time to be with us today and for your continued interest in Avnet. For our fiscal third quarter, I believe our team did a good job navigating the continuing environment of mixed signals among various business and economic indicators including the recent additional strengthening of the U.S. dollar. Our organic revenue growth rate in constant currency improved to 7% in the March quarter from 4.6% in our December quarter. Our EMEA region grew 7.4% year-over-year on constant currency with both of our operating groups contributing to this performance. In our Americas region, EM and TS both grew revenue approximately 4% year-over-year, while Asia grew 6.9% driven by another quarter of double-digit growth at EM Asia. Even with the significant strengthening of the dollar from the year-ago quarter, our recorded revenue increased approximately 1% year-over-year to $6.74 billion. Turning now to our earnings for the quarter, adjusted operating income grew 3% year-over-year on a reported basis and our operating income margin increased 7 basis points. Although we transact in a number of foreign currencies in the normal course of our business, the specific 17% decline in the euro from the year ago quarter had a significant impact on our enterprise results. In fact, if you look just at the combined results of our EMEA businesses, operating income actually grew 21% year-over-year in constant currency, yet this positive performance was negated when converted into U.S. dollars. Adjusted earnings per share of $1.04 increased $0.01 from the year-ago quarter, which includes a negative impact of approximately $0.11 due to the aforementioned currency declines. Finally, our working capital and returns reflect that our team has continue to do a good job in their disciplined approach for managing our key operating assets, as working capital velocity and return on working capital increased year-over-year at both operating groups. Even given our multiple comments on the current environment and the various puts and takes to our results based on these elements, we thus far have not seen any material changes to demand trends as reflected on our dashboards. With an increase in our organic growth this quarter, our book-to-bill ratio above parity at EM and a seasonal organic growth outlook expected at both operating groups for our June quarter, we believe we can continue to drive further progress towards our longer term financial goals. Now, I would like to turn the commentary over to Kevin Moriarty to provide more color on the financial performance of our operating groups. Kevin?
Kevin Moriarty: Thank you, Rick, and hello, everyone. EM delivered in the eighth consecutive quarter of year-over-year organic growth with all three regions contributing. Organic revenue increased 8.7% year-over-year in constant currency to $4.2 billion, led by another double-digit increase in our Asia region which grew at 11.4% due to the continuing strength of our select high volume supply chain engagements. EM EMEA continued their multi-quarter trend of high single-digit growth as organic revenue increased 8.2% year-over-year in constant currency and EM Americas was also up 3.7%. Gross profit margin increased sequentially primarily due to the expected seasonal mix shift to our western regions while declining year-over-year, as Asia’s share of total EM revenue increased 3.4% to 41%. Similar to our enterprise results a strong performance for EM in EMEA was muted at the EM - global level after translating their results into U.S. dollars. In constant currency EM EMEA grew operating income 2.7 times faster than revenue and operating income margin expanded 91 basis points year-over-year. However, at the EM global level operating income on a reported basis reflected only a 2% growth year-over-year with operating income margin flat to the year-ago quarter. In the March quarter, EM’s working capital was flat with the year-ago quarter on a reported basis and grew 9.9% in constant currency to support the strong year-over-year organic growth. Working capital velocity increased year-over-year and return on working capital was up 8 basis points from the year ago quarter. While the return on working capital increase was muted by the previously mentioned currency issues, our economic profit through the first nine months of fiscal 2015 increased 41% with our Asia region accounting for nearly 30% of this increase. Overall, we believe these results illustrate that EM is executing well in its served markets. Turning to TS, demand for datacenter solutions in our western regions drove year-over-year growth of 4.3% in constant currency. Our EMEA region grew 6% year-over-year in constant currency, while the Americas increased 4.9%. TS Asia declined 10.7% year-over-year primarily due to a significant decline in our computing components business. Reported revenue of $2.5 billion declined 16.8% sequentially in constant currency, which is at the higher end of our seasonal range of down 16% to down 20% for our March quarter. Gross profit margin declined from the year-ago quarter as an increase in our Asia region was offset by declines in our western regions. Operating income grew 12% year-over-year and operating income margin increased 32 basis points, driven by the improvements in our Americas region. TS EMEA, which has continued to make steady portfolio and resource alignment progress throughout fiscal 2015, delivered another strong quarter as organic revenue grew 6% year-over-year and operating income dollars increased 11% from the year-ago quarter in constant currency. Through our first nine months of fiscal 2015, TS EMEA grew operating income 22% in constant currency and operating income margin increased 38 basis points. Even though this improvement is not evident in TS’s global reported results due to the previously mentioned currency issues, the focus on profitable growth is having a positive impact as TS EMEA continues progress towards their long-range financial goals. Working capital velocity increased approximately half a turn as working capital declined 6.7% in reported dollars and was roughly flat with the year-ago quarter in constant currency. TS’s return on working capital increased 365 basis points from the year-ago quarter, driven primarily by an improvement in our Americas region. Now, turning to cash flow from operations, in the March quarter cash flow from operations was $60 million as we reinvested some of our profits into working capital at EM to support the strong year-over-year organic growth. Even with this investment our team did a good job managing working capital as our cash cycle declined half a day from the year-ago quarter driven by a one day decline in days of inventory. Cash flow from operations was $318 million for the trailing 12 months and during the third quarter of fiscal 2015 we paid a dividend of $0.16 per share or $21.7 million and have paid $65.6 million in dividends fiscal year to-date. In addition, during the third quarter of fiscal 2015 we repurchased $38.8 million worth of our shares. Through the first nine months of our fiscal year we have invested approximately $147.6 million in our own stock, which represents 3.6 million shares. This brings our total cash returned to shareholders to $213 million thus far in fiscal 2015. With over $800 million of cash on our balance sheet and $2.1 billion of available liquidity, we are well-positioned to invest in profitable growth opportunities, while maintaining our strong balance sheet and disciplined approach to our capital allocation. Now, turning to our outlook, looking forward to our fourth quarter of fiscal 2015, we expect EM sales to be in the range of $4.5 billion to $4.45 billion and sales for TS to be between $2.45 billion to $2.75 billion. Therefore, Avnet’s consolidated sales are expected to be between $6.6 billion and $7.2 billion. Based on this revenue forecast we expect adjusted EPS to be in the range of $1.02 to a $1.12 per share. This guidance does not include any potential restructuring and integration charges or the amortization of intangibles. The guidance assumes 138 million average diluted shares outstanding and effective tax rate in the range of 27% to 31%. In addition, the above guidance assumes that the average U.S. dollar to the euro currency exchange rate for the fourth quarter of fiscal 2015 is $1.08 to the euro. This compares with an average exchange rate of $1.37 to the euro in the fourth quarter of fiscal 2014 and $1.13 to the euro in the third quarter of fiscal 2015. Before we turn to Q&A I would like to remind everyone that we will be hosting an Investor Day on June 9 at the New York Stock Exchange. We look forward to seeing many of you there and if you cannot join in person there will a webcast of the event. With that, let’s open the line for Q&A. Operator?
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Thank you. Our first question comes from the line of Brian Alexander with Raymond James. Please proceed.
Brian Alexander: Okay, thanks. Good afternoon, guys. Just the question on the currency impact in both of your businesses beyond translation, specifically from a margin perspective can you talk about the impact you’re seeing in each business? How much of your sales would you say are naturally hedged and how much are exposed to a mismatch in currencies that you might be buying and selling in differently? And to the extent that that you are doing that, can you talk about how quickly you are able to raise prices in the local markets, where you’re perhaps buying in dollars and selling in euros?
Kevin Moriarty: Yes, Brian, I would range it for in terms of the impact on the operating margin rate for almost recent completed quarter for EM the headwind is roughly 10 to 15 basis points on operating margins year-over-year. And for EM it’s roughly - I’m sorry for TS it’s roughly 5 to 10 basis points year-over-year.
Richard Hamada: Brian, this is Rick. We don’t have it in our fingertips here our mix issue where we can identify what percentage of revenues that we buy and sell in the different currencies. Where we have those exposures, again when we talk about dealing with these currencies in normal course of business, that’s where we do execute our hedging strategies on those exposures. We don’t do anything on the translation through. That’s been again normal course of business for us overall. And in the case, I think you also mentioned on the price increases, what I would tell you is that for both groups now any of those due to the continued strengthening of dollar has been very muted and then not impacted or not causing any changes either in the demand pattern or in causing us any undue margin pressure due to the inability to pass those on at this time. So overall, it’s certainly part of the current environment but not having any material impact from that perspective due to any decisions or changes being made by our suppliers in the pricing area.
Brian Alexander: Okay. That’s helpful. And just as a follow-up on the TS EMEA business, I think the revenue was up 6% year-over-year in constant currency and it was well above seasonal for the second straight quarter on a sequential basis. I just wanted to get some color on what do you think is driving what looks to be kind of renewed strength in TS EMEA and is any of that related to maybe customers spending a little bit more today because they’re sensing prices might be going up in local currency and therefore we might be pulling forward some demand?
Patrick Zammit: Okay. So hello, Brian, I would say the first reason is, okay, we have a lot of reorganization activity behind us. So the team is really now focusing a few quarters on the market, on the customers. And I would say it’s paying off, that would be the first. The main reason for the good performance, we have solid teams in the region and we have also I’d say powerful relationship with our manufactures. Demand in Europe is good at the moment, indeed you have end customers basically upgrading the IT infrastructure and we’re taking advantage of it. But again the main reason for the good result and the consistent good result now since four, five quarters is execution.
Brian Alexander: Okay, great. Thank you.
Patrick Zammit: And I would add one more thing. We are also - not only you’re seeing growth, so which is the main driver for the improvements in the performance, which have also strong cost management, which is of course accelerating, I would say the drop through to the bottom line.
Brian Alexander: Right, okay, thanks, Patrick, thanks Rick.
Richard Hamada: Yes, Brian, so obviously Patrick is new to the equation so to speak, but obviously TS EMEA has held focus on the overall leadership team for quite a while. So I think you are very familiar with that.
Brian Alexander: Yes, thank you.
Operator: Thank you. Our next question comes from the line of Matt Sheerin with Stifel. Please proceed.
Matt Sheerin: Yes, thanks. Good afternoon, guys. Just following up on Brian’s question, just regarding pricing in general there has been reports about OEMs putting through or talking about putting through price increases in Europe on the hardware side. We’re also hearing some rumors on the semiconductor side. So can you share with us what you’re hearing and seeing from vendors and are you seeing any reaction from customers to try to get ahead of that?
Gerard Fay: Sure, Matt, it’s Gerry. I’ll go first on the semiconductor side, as many of you get our market trend reports you’ve seen is that some suppliers institute price increases in Europe, somewhere on the 3% to 5% on average basis. Today, we haven’t seen any negative impact at this point from customers either from an order perspective or a pricing perspective. And I think Brian alluded to this, we had made some strategic inventory investments ahead of some of these price changes to buffer ourselves from that. And of course, we’re investing in inventory overall to support our growth. So in that perspective in the short-term we don’t see a change in demand because of this and we don’t - so far we’ve been able to pass this through.
Patrick Zammit: Okay. So…
Matt Sheerin: But you haven’t seen - you haven’t seen signs of customers trying to build some inventory to get ahead of that because it sounds like you’re doing that, right?
Gerard Fay: Yes, we haven’t seen that from a customer perspective based on demand.
Matt Sheerin: Okay.
Patrick Zammit: On the TS side, same remarks, so we have some suppliers who are increasing the prices and but again no more than 5%. So same range as in the EM business and we haven’t seen any change in the behavior of our customers because of that. I would say in addition because usually both the investments are capitalized. The impact is - would not be too much yo-yo on the financials of the customer.
Gerard Fay: Matt, this is Gerry here. What I would add to that too is we saw our strength in Europe. I think a lot of that has to do with the fact that the euro is weaker, that’s helping exports. So a lot of our mass market customers have increased their demand. So, so far we see as a positive for our European business.
Matt Sheerin: Got it, and that’s helpful. And just a question on the TS related to the PC components business. I know in the CFO commentary that you put out earlier, you talked about another drag year-over-year in terms of revenue declines there, yet it sounds like the rest of TS in Europe is doing well and margins are improving. So Patrick, could you talk about kind of your strategy for that business? Are you seeing signs that it’s bottoming out here or are there more actions that you need to do to try to improve that or maybe make bigger decisions regarding divestiture or other moves?
Patrick Zammit: So three reasons for the decline or for the pressure on the top line, two are market-driven and one is really driven by Avnet. So the two market driven reasons for the pressure on the top line is technology refresh at some of our vendors and you had too much inventory in the channel and we are depleting it. I would say that on the latter, I think we are getting very close to the end of that phenomenon and later by Q4 I expect a rebound. When you have an Avnet-driven decision which is that we decided to deselect some business which was not meeting our returns and we believe that we could not meet the returns medium and long term. So that has also impacted our top line. Now two things have happened to react to that trend. The first one is the very strong discipline on GP percent. And in fact our component business has significantly improved its gross margin percent and second there has been also some actions to align the cost structure to the new norm and the result of that is a significant improvement of the operating margins at that business. So based on what I know today, after doing an evaluation of that business, there is no intention to disengage, I would say but the prospects are positive and I would add that we are very close to meet our long-term targets. So I’m expecting improvements, more improvements to come.
Matt Sheerin: Okay. And just, what are the long-term targets for that business relative to the tech solutions?
Patrick Zammit: So it’s…
Richard Hamada: I’ll jump in here, Matt. So when we set up our portfolio, the way we break down our businesses across the board, each business has both an operating margin and a velocity target which comports to a certain expectation on return on working capital. And by the way, lower margin businesses generally speaking, we will be expected to have a higher return on working capital to offset the risk of lower margin. So I would tell you that from the computing components business at TS, when compared to our overall enterprise goal today, our stated long range goal of 28% return on working capital, this business actually their goals exceed that particular return metric.
Matt Sheerin: Okay, all right. That’s helpful. Thanks a lot Rick.
Operator: Thank you. Our next question comes from the line of Steven Fox with Cross Research. Please proceed.
Steven Fox: Thanks. A couple of questions. Just first of all, looking at some of your component vendors that have reported, it seems like you are outperforming them even in local currencies, I don’t know it’s a rough estimate on my part, so feel free to correct me. But can you just sort of talk about that and whether there is something Avnet specific going on in your organic sales growth that we should pay attention to. And within that answer could you also talk about what end markets you are doing best with, I know there is a lot of different industrial markets but where are you seeing applications doing well right now, where maybe things aren’t going as well? Thanks.
Gerard Fay: Sure, Steve, it’s Gerry. So first of all, if you look at some of our suppliers who have already announced, if you look at the end markets they sell into, they are quite a bit different where they’ve seen weakness in their end markets. We don’t play big in those end markets. So that’s one of the big differences between our suppliers and that’s some of their bigger customers in communications and consumer goods is where they saw downturn. We deal more with the mass market. We then move to looking at regions in North America, our growth was mainly on industrial, aerospace, and defense. This is usually a typically strong quarter for us in the industrial space and in North America that trend continues to drive stronger. If we look at our European business, first thing I would like to say is, we’ve had a very successful transition of leadership in EMEA to our new leader, Miguel Fernandez picking up, where Patrick left off. They continue to perform at a high level and we’re quite proud of their performance. Automotive and industrial were strong segments for them in this quarter. We continue to see growth in those markets due to the weaker euro, which is helping European exports in our mass market customer base. And then in Asia, again, pretty much across the board was industrial, where we saw the - if we take out our high volume fulfillment business, so it’s mostly in the industrial base where we saw growth.
Steven Fox: Great. And that was my second question, can you just sort of talk about the Asia component growth specifically related to the high volume business, how we did it versus maybe whatever your expectations was seasonally and how much did it contribute to the Asia growth? Thanks a lot.
Gerard Fay: So we usually talk about this at the EM level, so if you look at our EM overall sales, this business ranges throughout the year somewhere between 5% to 10% of our total revenues, the December quarter usually being the biggest quarter. If you look at our core Asia business, our core Asia business was up over 5% this quarter, so strong growth in the quarter. So that’s kind of the mix that we see for the Asia business. This business continues to be very selective on our part. As Rick said earlier, it does run on lower margins, but gives us nice velocity, which creates the right return profile for us and as long as we continue to do so, we’ll continue to take that business.
Steven Fox: Thanks very much.
Operator: Thank you. Our next question comes from the line of Shawn Harrison with Longbow Research. Please proceed.
Shawn Harrison: Hi. I guess wanted to follow up on just the industrial markets. And I got off the Westco call earlier and essentially you are highlighting what was a contingent for them in the industrial markets, I know it’s not apples-to-apples. But maybe if could describe where you are selling into an industrial? Have you seen kind of any negative signs out there that would maybe put growth at risk?
Richard Hamada: I wouldn’t talk about growth at risk. What I would say is industrial automation is a nice market inside of industrial for us and that continues to grow if you think about the Internet of Things. It’s sensors and getting close to the edge. So that’s where we see the growth and we see the potential growth going forward. Again, I can’t speak to anybody else’s results, but we continue both in primarily in the west seeing nice growth in the industrial business.
Shawn Harrison: Okay. My follow-up question is, I’m trying to I guess bridge the results this quarter to the June quarter. And at the midpoint on higher sales, there really isn’t much FX growth. And I guess to that, is there something going on beyond currency in terms of the translational impact either on EM or TS than I should be thinking about, is there incremental hedging expenses quarter-over-quarter just, how do I get to the, I guess, the $1.7 midpoint from $1.4 this quarter?
Kevin Moriarty: Shawn, hi, it’s Kevin. I think organically you would expect a sequential increase in terms of the performance. We do have if you look at the tax rate with sequential headwind down the tax rate, as well as incremental hedging costs that are causing some of that sequential headwind. But I think organically we would expect to be, if you think about the year-on-year number, I would range it in the 12% to 15% headwind year-on-year from currency.
Shawn Harrison: Okay. In the other income line this quarter, I know you had a lot of incremental hedging cost and FX losses. What should we expect just other income or other…?
Kevin Moriarty: I - the way I would model it is, yes, I would model it in the $4 million to $7 million range for incremental costs.
Shawn Harrison: Is that only a - that’s a one quarter event or does that die down?
Kevin Moriarty: Yes, it should normalize. I think this quarter, I mean, in the third quarter, we had obviously a lot of activity, because the currency was moving quite frequently with each passing day, so we had a up-bar [ph] in participation with transactional costs. Things have stabilized recently, but it’s just something we continue to monitor depending on where currencies move, we’ll continue to participate in up-bar transactional activity.
Shawn Harrison: Perfect. Thanks so much.
Operator: Thank you. Our next question comes from the line of Jim Suva with Citibank. Please proceed.
Jim Suva: Thank you very much. A quick question. First of all, just to clarify, sound like when you say that you are investing in the business, which I think is the right thing to do. You are referring a little bit to, I don’t want to put words in your mouth, but were you pre-buying some chips of inventory ahead of expected price increases for this upcoming quarter? Is that the way to think about that, or was it some product lines that you just didn’t have a strong foothold and that you’re moving more aggressively into?
Gerard Fay: No, Jim, it’s Gerry. What I would say is, first of all, we’re buying inventory to support our overall sales growth first and foremost. And then secondarily from there in certain commodities where we anticipate price increases due to the FX exchange rate, we made some very strategic investments in that inventory to get ahead of what we thought was going to be worsening conditions from that aspect.
Jim Suva: Okay. In that pre-buying can you help us quantify is it like a day or two of inventory, a week or two of inventory, or it just seems like you’re getting a little more speculative when I believe you typically are price protected for price increases in debt and decreases for the chip companies?
Gerard Fay: Jim, what I would say is the amount of inventory we bought in the space is immaterial to the overall inventory number, so it’s not speculation on our part. We are not - we don’t really speculate. We have very tight controls over the investments we make in this area. And if you look at our overall inventory number compared to our sales growth is, it all makes sense.
Richard Hamada: Yes, Jim, this is Rick. I would add that it’s - the other element hopefully to diffuse any concern about speculative nature is that, frankly, we’re looking at historical models and patterns that we’ve seen in previous moves of currency issues. So, again, it’s a very disciplined approach to the way that we’re investing in this and certainly not trying to be a market timer or anything along those lines.
Jim Suva: Okay. Then my second question is on M&A. The dollar strengthened, so your dollar purchasing for M&A targets have strengthened or in essence put together where they’ve gotten more attractive. But if my tracker is right, it looks like it’s been, I want to say nine or 12 months since you’ve done acquisitions. How should we think about? Are you changing your strategy and now working on larger acquisitions or building up cash or looking at paying down debt and less M&A, or how should we think about M&A since the temple seems to quite noticeably slowed?
Richard Hamada: Yes, Jim, first and foremost I would like to strongly reconfirm that we are open for business when it comes to M&A. It’s a very important part of our capital allocation priorities and it remains an important part of our long-term profitable growth strategies. That said, I would characterize that we are being more selective and more strategic about the additions we’re considering. And we would very much like, of course, to align them to the growth strategies, our groups are laying out and then make our make versus buy decisions as we invest in those strategies for growth. So understand there has been a little bit of a lull here. The facts are what they are, but that is not due to any specific decision on our parts and not being the M&A business, it’s just a matter that we just haven’t had one in a while, so we are open for business, ready and willing and able here. And with Kevin keeping our balance sheet in really good shape and access to capital, we’ve got the powder to go ahead and execute if and when we find the right opportunities that have the right culture, strategy and economic models.
Jim Suva: Great. Thank you so much.
Operator: Thank you. Our next question comes from the line of Amitabh Passi with UBS. Please proceed.
Amitabh Passi: Hi guys, thank you. Just a couple of questions on my part, just wanted to get a sense of uses of cash and how we should be thinking about cash flow over the next couple of quarters.
Kevin Moriarty: Hi, Amitabh, it’s Kevin. I think as I look forward, the number can move within a short period of time right due to the working capital requirements in our fiscal close, the calendar close of our suppliers and customers. But as I’m looking forward to our fourth quarter here I would say in the range of $100 million to $150 million of cash flow from operations. It’s a rough range and tied to linearity of our working capital requirements. The other thing I would point out, we are focused on the trailing 12 month number and again when I look at our June quarter, I expect us to be within the $400 million to $450 million range for the trailing 12 months at the end of our Fiscal Year.
Amitabh Passi: Got it and then just a quick one on your maybe some of your sub segments within technology solutions, I was hoping you could maybe touch on the demand drivers in some of the categories including networking and storage if you could maybe just update in terms of what you saw there during the quarter and your expectations for June?
Patrick Zammit: Okay. So, it’s Patrick. Storage and networking were particularly solid this quarter and have been driving most of the growth.
Amitabh Passi: Patrick, just maybe a follow-up on networking any specific reason for the sources of strength or any particular sub-categories there?
Patrick Zammit: So our strategy is really to go for converge, so we are really pushing hard to - when we go to our customers to sell them the full solution and this is driving the demand at the moment.
Amitabh Passi: Got it. Okay, thank you.
Operator: Thank you. Our next question comes from the line of Louis Miscioscia with CLSA. Please proceed.
Louis Miscioscia: Okay, thank you. I guess continuing on with the question in the IT area. Some of the larger storage companies actually have not been doing well over the last quarter or two. Could you just comment as to where you’re actually seeing the majority of your strength? Is it just the SMB market or is it more a product and company oriented?
Patrick Zammit: I would say, so first thing we have seen strength in all the regions and we have seen strength of course in the SMB market, but also in the enterprise market. So it’s really a solid quarter across the board from the geographic or from the customer segment standpoint.
Richard Hamada: I would also share, Patrick, I believe it’s also been very balanced among our storage - portfolio of storage of vendors.
Patrick Zammit: Absolutely.
Louis Miscioscia: I guess, going back to Europe then also on TS, and congratulations on the good restructuring and the new Management team, maybe you could relate the performance that you had to what you actually were seeing with end demand. Do you think the demand level was at the same level that you were doing or do you think that you were regaining maybe some lost share?
Patrick Zammit: So for the moments we still don’t have much market information. We had some indication from a limited number of vendors and we have been gaining a little bit of share, but I’m waiting for some more market information to confirm that.
Louis Miscioscia: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Will Stein with SunTrust. Please proceed.
William Stein: Great. Thank you for taking my question. I’m hoping you can talk about the strength that you’re seeing in Europe relative to the possibility that customers may be trying to sort of arbitrage the lower euro and buy either systems or components from you in Europe and ship them to where they really need them. It may sound somewhat of a conspiracy theory, but it’s something I’ve heard from some of my industry contacts. So I’m wondering if you can comment as to whether you think that’s happening and whether you have any good ways to prevent it. Thank you.
Gerard Fay: Hey, Will, it’s Gerry, I’ll go first. So we haven’t seen that phenomenon yet. I mean given what’s happening on pricing, I think there would have to be significant price delta that we haven’t seen yet to make that transition from buying in one region, shipping it another makes sense at this point. We haven’t seen anything like that and so I can’t comment much further except to say that’s not a phenomenon that we normally see unless there is extreme price differences and usually that wind up sorting itself out in the marketplace.
Richard Hamada: And Gerry, wouldn’t it have be fair to say that if there was a systematic arbitrage taking place at this point the suppliers would be pretty much…
Gerard Fay: Yes, they look at how their pricing models work. They look at their prices by regions. So they are going to let too much of that arbitrage happen because it erodes at the end of the day their profitability and their results.
Patrick Zammit: And so for TS, I would say that this is really at the moment primarily a local type of business. And our customers are really looking - okay, coming towards for local needs. I’ve not seen, I’ve not been reported any of those behaviors.
William Stein: Very well. One other question, if I can, on the component side. A moment ago, you were asked about areas of strength and weakness. And we heard about industrial and maybe to a lesser degree automotive. That’s very well in line with what we’ve heard elsewhere among your suppliers. But I’m wondering about the weaker spots in particular if you have any meaningful exposure to com-infrastructure, whether you’ve seen that fall off or if you anticipate it falling off later in the year, if there are any other noteworthy areas of weakness. Thank you.
Gerard Fay: This is Gerry again. I would say, no, we are not exposed to the com-infrastructure like some of our suppliers are. Those accounts generally are big and direct for them. So we don’t have that same kind of exposure. And again being a mass market broad line distributor across our account base, a lot of those smaller ups and down get normalized out. So there is no area I see in our core markets that we serve, industrial being the biggest where we see much in the way of weakness today.
Richard Hamada: Yes, I would say just generally, Will, if and when we have disconnection, by the way you can go both directions depending on where the market is at. The major categories of significant, I would say, CapEx com-infrastructure as well as the consumer device areas are usually the usual suspects when it comes to any differences to some of the market characterizations you may here from us versus our suppliers.
Gerard Fay: Just to follow up on Rick’s comment, I mean we’ve had six quarters of positive book-to-bill. So I think that bodes well for the backlog we have within the strength of our core markets.
William Stein: Thank you.
Operator: Thank you. Our next question comes from the Ananda Baruah with Brean Capital. Please proceed.
Ananda Baruah: Hi, guys. Thanks for taking the question. Just a quick one for me for Patrick, Patrick, did I hear you correctly in the beginning of your comments that you’re actually seeing what feels like an upgrade cycle in TS in Europe? Thanks. And then if so just any context would be helpful, thanks.
Richard Hamada: So here the question was around upgrade cycle, which I’m not sure he made a comment around upgrade cycle, Ananda. I think he was just talking about the improved execution leading to what we believe are some perhaps better than market growth numbers as TS continues its progress on its financial goals. So would you make a specific comment on any of…
Patrick Zammit: Yes, that was really what I meant. So we have the team really again being externally focused and it’s paying off. And we’ve done also a few changes. There will be some more changes to come, but I would say we have - the base is solid and again the last four quarters we’ve been surfing on that much stronger base now, and taking far more advantage of the market opportunities. And back to previous question, have we gained share. I am really waiting for some market data to confirm it. At this moment, I am not able to confirm to make a judgment on that.
Ananda Baruah: Got it, got it. Thanks for the clarification. Just one more quick one, on the storage components of the European strength, could you provide some context around what you’re seeing there, what types of deployment, what’s driving the appetite, something similar to what you provide on networking would be great? Thanks.
Richard Hamada: Not sure we have a specific driver on the storage strength other than just the overall market, appetite that’s going on, Ananda. In other words, trying to drive it down to a specific marketplace like increased video storage or demand increased regulatory et cetera, just don’t have that level of resolution available to us. But, again, I think our overall characterization is that storage in aggregate continues to be one of the more positive growth stories within the overall TS portfolio, by the way in all regions.
Ananda Baruah: Got it. Appreciate it. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Sherri Scribner with Deutsche Bank. Please proceed.
Sherri Scribner: Hi, guys. I wanted to ask Kevin about the CapEx spending this year, it seems to be higher than it’s been historically. And is that related to acquisitions, or is there something in particular going on there, and how should we think about CapEx going forward?
Kevin Moriarty: Sure. Sherri, couple of things I would point to. We’ve been continuing our ERP investments over the last few years, but specifically over the last 12 months the specific to replacements that we’ve been working on. In addition, I would point to this quarter we acquired a property in Europe for distribution capability, and that really caused the year-over-year impact. When we come to Analyst Day, I will be sharing more in terms of the go-forward outlook, but I would think it to be moderating in the $130 million to $160 million as we move forward.
Sherri Scribner: Okay, thanks. And then you guys have been - in terms of big acquisitions, you guys have done a number of big acquisitions over the past five years. I just wanted to get a sense of at this point where are the areas that you think there are some capabilities that would be attractive to Avnet? Thanks.
Richard Hamada: Yes. So, Sherri, it’s Rick. As I said the most desirable opportunities for us are probably very much in line with the fundamental growth strategies in our businesses. So you look at EM and fundamental value propositions around design change, supply chain opportunities to expand and grow on that. The consolidation play is not a 100% over particularly in some of the Asian markets as an opportunity, continue to expand the value propositions into adjacent opportunities as we did with MSC and embedded systems. These all make sense to us as targets of opportunity. For TS taking a look at the market developments as the evolution of the third platform, I think to use the IDC term, converged solutions, adding select opportunities to grow in software and services makes strategic sense to us along those lines. So these are the - as the businesses continue to articulate their plans for their long-term growth, the make versus buy decisions that line up in those categories make an awful lot of sense to us. And then once in a while a deal will find us based on some other entity making a strategic decision to look for perhaps strategic acquirers, et cetera, and of course, we would deal with those on as they come basis overall. But what makes more sense to us is the layout the road map on the fundamental strategic pillars for growth that we are carrying on and hopefully we can align the deployment of capital inorganically as well as our organic investments towards pursing those opportunities.
Sherri Scribner: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Mark Delaney with Goldman Sachs. Please proceed.
Mark Delaney: Yes, good afternoon, and thanks very much for taking the questions. First question is a follow up on some of the industrial trends that the company has been discussing on the component side of the business. And maybe you could provide us with some context about in past cycles when larger industrial companies have seen weakness, how long that’s taken to impact Avnet if at all? And I understood some of the comments that you haven’t seen anything yet but there’s just a lot of industrial companies, be it Grainger or Dover or Pentair in a pretty broad swath of the market that have talked about weakness beyond just direct oil and gas exposure. So just trying to get a sense if that’s something that’s going to still impact you in some of the coming quarters, so any context there would be helpful.
Gerard Fay: Mark, it’s Gerry. I really couldn’t comment on that. I mean I don’t know if there is a high degree of correlation, I don’t think we’ve ever looked at it, when looking at a Fastenal or Grainger against our business. I think they are different. And again, all I can base it on is the dashboards that we have and what we’re looking at and when I, again, our book-to-bill in the mass market customer base has been solid for six - been positive for six quarters now, so we have a pretty strong backlog and there is no signals in the environment today that we need to believe that will change. Again, as Rick said in the lead off, we’re still in a mixed signal environment, so things could change that way, but there is nothing that we see today that would lead me to believe that we’re looking at some weakness in the short-term.
Mark Delaney: Okay.
Richard Hamada: Hey, Mark, it’s Rick. I would just reinforce. We remain very vigilant on a number of fronts watching key indicators not only on the macroeconomic front and what’s going on with the GDPs, but we are watching PMI, we are watching business confidence, we’re watching manufacturing indices. Believe me, we do not believe we are going to be immune from any protracted significant changes in the marketplace that do that will eventually impact in the industrial space, it’s more important to us. But as Gerry pointed out, vis-à-vis some of the other sort of distribution entities with a different look at the industrial markets than we have, at this point we don’t consider that a major disconnect causing us any undue amount of concern.
Mark Delaney: Okay. And did you guys try and account for any of those macro headlines in the guidance?
Richard Hamada: Well, again, the guidance just being on a quarterly basis at this point, it’s much more driven by our internal dashboards, the currently scheduled orders that are on the books and supply chain engagements, the activity levels we are seeing from our partners and bars, quotes, proposals, configurations, et cetera. So that really is much more impactful the way we look at it. However, as I said, we keep an eye on them - on the more macro indicators as well to be alert to any signs of any particular impact on our business. But the best information we have is today is reflecting in the guidance that we provided.
Mark Delaney: Okay. And I appreciate that context. And then if I can kick at one last one on FX translational impact, and trying to make sure I understood - understand the right exposure and so that we can get the modeling correct going forward. If I go back to the March quarter, my understanding was every $0.02 move in the euro was about $0.01 of translational impact for Avnet. And I think the company had guided for $1.18 exchange rate that averaged my math about $1.13, so about a $0.05 move should have been about a $0.025 headwind and the company was talking about $0.11 or so is what it actually ended up as? So maybe we can just get an update about what that disconnect was and then what’s the right formula for us to think about going forward?
Kevin Moriarty: Sure. Hi, Mark, it’s Kevin. To clarify the $0.11 is versus the year-ago quarter we provided on a sequential basis the number we had referenced earlier with on a sequential basis. So the math actually calculates directionally to what you are provided from on a sequential basis in terms of the $0.02 to $0.03 impact from currency. But the $0.11 is attributable to the year-on-year number.
Mark Delaney: Understood. Thank you very much.
Operator: Thank you. I would now like to turn the floor back over to management for closing remarks.
Vincent Keenan: Thank you for participating in our earnings call today. Our second quarter fiscal 2015 earnings press release and related CFO commentary can be accessed in downloadable PDF format at our website under the quarterly results section. Thank you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time and thank you for your participation.